Operator: Good day ladies and gentlemen. Welcome to the Dyadic International First Quarter 2016 Earnings Results Conference Call. Today’s conference is being recorded. I would now like to turn the conference over to Mr. Thomas Dubinski. Please go ahead sir.
Thomas L. Dubinski: Great. Thank you Nancy. Good afternoon and thank you for joining today's conference call to discuss Dyadic's financial and operating results for the first quarter ending March 31, 2016, which we reported in a press release issued earlier today. The press release and Dyadic’s annual report have been posted to both the Dyadic and the OTC Markets' websites. I'm joined today by Dyadic's President and Chief Executive Officer, Mark Emalfarb, and Dr. Ronen Tchelet, VP of Research Business Development. On today’s call, Mark will cover operating highlights, further details on our corporate strategy, provide an update on our professional liability lawsuit against former professional service providers, and I will review our financial results in more detail. Dr. Tchelet will highlight some of our research and scientific goals and objectives and progress to-date in some of these programs. We will then give you an opportunity to ask questions. Each caller would be allowed one question and one follow up question in order to provide all callers an opportunity to participate. If time permits, the operator will allow additional questions from those who have already spoken. Before we begin, we would like to remind you that certain statements made in this conference call maybe forward-looking statements, which involve risks and uncertainties that could cause Dyadic's actual results, performance or achievements to be materially different from any future results, performance or achievements expressed or implied by these forward-looking statements. Dyadic expressly disclaims any intent or obligation to update any forward-looking statements except as required by law. I will now turn the call over to our President and CEO, Mark Emalfarb.
Mark A. Emalfarb: Thank you, Tom. As we bring it close to our first quarter of 2016, management and our board continue to be very optimistic about our future, and our ability to maximize value for shareholders. We are seeing greater interest in the potential of our C1 technology and initially anticipated at this stage of C1’s development for use in developing, producing and improving biologic vaccines and drugs. We continue to make progress in our share repurchase program, and are taking steps, which we expect will eventually enable us to uplist to NASDAQ for another major exchange. We are debt free and have the financial resources, which we expect to be supplemented by third-party research funding grants and licensing income to fund our business plans. Additionally, we recently announced a favorable settlement with one of our two remaining law firms in our ongoing professional liability litigation. And on April 19, 2016 we collected $2.1 million net of legal fees and related expenses. Such funds will be used to, among other things, evaluate to other potential evaluable biologic targets for which we may initiate additional internally funded research programs and to determine how to best accelerate improvements to our C1 technology platform. I previously reported to you that I have strong belief in Dyadic’s future, which is the reason I decided to increase my already sizeable position in the Company when I converted by $1 million of debt into equity at that time, and we have retired the Company’s debt after the DuPont transaction. As we meet with biotech and biopharma companies and identify additional ways in which C1 can be used to potentially not only improve access and reduce cost to patients and the healthcare system, but most importantly save lives. I continue to be more excited by our prospects. To say we have been busy in the last three-months would be an understatement. Recognizing that our limited staff would not be or will not be able to accomplish all of the things we need to do going forward. We are currently in the late stages of our search for additional support in our finance function and we expect to begin a targeted formal search for seasoned business development executives and possibly an additional director very soon. We are in early stages of discussions with several large and small biotech and biopharmaceutical companies trying to identify how our C1 technology may be able to add value to the research and commercial plans. In addition to the ZAPI vaccine project that is funded by IMI/EU 2020 we have started internally funded C1 research programs, which involve trying to express insulin and Ranibizumab, a biosimilar version of the Lucentis. As discussed during our last call, the Company has been evaluating the best strategy to carry out various critical research and development task for further improving the C1 technology for use in developing and manufacturing biologic vaccines and drugs. Our main tasks are to develop a better, ready to use versatile and robust C1 strain for use in developing and manufacturing biopharmaceuticals. And two, glycoengineered C1 strains to allow for the production of protein that resemble the human glycol protein structure. We have been meeting with leading experts in laboratories in the field of cell biology to among other things identify the best path forward to start to glycoengineer certain C1 cell lines. We are in the late stages of drafting a multiyear internally funded research agreement with a leading laboratory that we believe has reckless of skills and experience to begin to carry out this important research program. I’m very pleased with the progress and reception we are receiving from our outreach to potential third-parties that we anticipate will lead to research funding, licensees and out other type of collaborations. Additionally we have begun to hold discussions with potential candidates and search firms to help us identify the talent, we need to accelerate our research, business development, licensing and other potential forms of collaborations as biotech and pharmaceutical companies. With our highly regard of C1 technology and our strong financial position, we believe we are uniquely positioned to provide additional shareholder value as we execute our near and longer term business plans. As part of pharmaceutical license with DuPont, we negotiated what we believe is a significant benefit to carry out portions of our pharmaceutical research at our former Wageningen, Netherlands research center. With all the same scientist, who have been successfully working with C1 for Dyadic all these years as well as gaining access to DuPont scientific expertise and experience in the field of filamentous fungi during this research services period. We have begun funding certain research program at DuPont in our former lab and are starting to benefit from this research arrangement. As we develop our pharmaceutical business initial without the typical fixed R&D overhead in cash burn rate associate with other biotech companies. We expect the Dyadic focus in the pharmaceutical industry along with the negotiated support from DuPont, additional consultants with the relevant experience we anticipate attracting, along with one and more additional contract research organizations, TROs, which we anticipate engaging by mid-year 2016 will enable the company to potentially achieve research goals sooner and more effectively than otherwise possible. In addition, the unique attribute to C1 may create attractive licensing opportunities by providing our partners with research, development and operational efficiencies and reduced requirements for licensee capital expenditures. We believe that the C1 technology platform has a potential to be a safe and efficient expression system that may help speed up the development, production and performance of biologics and flexible commercial scales. In particular, as the ageing population grows in developed and undeveloped countries, the company believes C1 has the potential to help bring Biologic drugs to market faster, in greater volumes, at lower cost, with new properties to drug developers and manufacturers and improving access and reducing cost to patients and the healthcare system, but most importantly to save life. Whenever we discuss the fact that we are on various stages of discussion with companies regarding our C1 technology, is important to understand the lengthy process that we must go through before any deal can be done. Often times when we talk about these activities, shareholders are frustrated with the length of time it takes to complete the transaction. And as you might imagine we can go through the entire process and still not end up with the successful conclusion. Without getting into the details and support to understand, the most of these transactions involve the following activities. Identifying as possible viable target company and products where we believe C1 can add value. Arranging a meeting, which generally result in a need for several follow-up scientific and business discussions and additional meetings to introduce the C1 technology and its potential benefits for use in developing manufacturing, improving biologic vaccines, antibodies and other therapeutic proteins. Exploring ways in which C1 may be utilized for the benefit of both companies, to trying help overcome gene expression challenges being faced by the third-party. Or to carry out gene expression experiments that are aimed at demonstrating the capabilities of the C1 technology today and what they promise is the C1 technology maybe after further improvements are made to the C1 platform for their intended use is. Negotiating will pay for such research and development. We will provide the other resources necessary to successfully carry out research and development program and what benefit each party may expect from the outcome. If the two companies agree to move forward it generally takes between six and 18-months for us to carry out the research. If the research project is successful, it may lead to a license agreement or take some other form of collaboration that will benefit both parties. If the research project does not meet the original scientific of other objectives, or other conditions changed by either party, the market or otherwise, further research might be necessary to try to attain the desired results, or the projects itself may be cancelled totally. Synthetic biology is accelerating at such a rapid pace that new as better methods and capabilities that constantly being developed which may allow us to better carry out research and development work to further improve the C1 technology. Our prior investment in generating a high quality annotated C1 genome in combination with new advances in biotechnology will enable us to achieve even greater things tomorrow that C1 is unable to do today. They do it faster and with greater success. The use of CRISPR, which many scientists view as a breakthrough for editing genes is an example of such technology that’s come to forefront of biotechnology, which is yet to be used by Dyadic in conjunction with the C1 technology. Aspirated by the fact that we have limited staff. You can see why the process is as lengthy as it is. I just felt that was important to share this processes with you to better understand the process to what we need to do to accomplish our business objectives to promote and commercialize C1. we are very proud of our C1 technology and what we have done with it in the past. And what we believe we are capable of doing within the future. However, we believe that its value is not yet reflected in our stock price. I believe that part of the problem is investor may not fully understand what the C1 technology actually does and what it is potentially capable of in helping to bring biologics growth the market faster and greater volumes at lower cost and with new properties to drug developers and manufacturers in improving access and reducing cost to patients and the healthcare system but most importantly save lives. we are working hard to help you all better understand the potential of our C1 technology. At this point, I would like to turn the call over to Dr. Ronen Tchelet, our Vice President of Research and Business Development to discuss some of our ongoing programs and discuss a few of our internal research and development goals.
Ronen Tchelet: Thank you, Mark. As Mark mentioned, we have several ambitious to deliver achievable goals for R&D this year and beyond. Dyadic’s main goal is to create a cost effective platform for therapeutic proteins using the C1 technology platform. Currently, we are aiming to focus on two main activities; one, developing a better C1 product strain to reach our ambitious goals for the C1 product strain to reach our pharmaceutical field and two, to develop a few vaccines and biologic as monoclonal antibodies with our own course and in collaboration with other pharmaceutical companies. In order to accomplish these objectives, we are already collaborating with DuPont in intent to collaborate with additional leading research institutes and companies. Some of those collaborations are already in late stage of negotiation. The fact that the C1 genome or sequence and annotated in our collaboration with Scripps, Florida has been recognized by others as one of the 10 best annotated filamentous fungi genomes allow us to take advantage of cutting edge technologies like CRISPR that are based on computational biologic tools. As this development works best on advanced technology that was already implemented for C1, we expect to come up with even better strains and tools as we continue to further improve C1 for use in developing and manufacturing biopharmaceuticals. We are aiming to express at least one biologic this year from our initial proof-of-principle experiments. This [indiscernible] impurity that will start with pharmaceutical companies to continue and/or start to work with us in the further development and application of the C1 technology for use in the animal, human biopharmaceutical markets. Currently, we are working with our former Dyadic Netherland lab now owned by DuPont and as Mark said, we are evaluating additional strategic research organizations we believe can help us accelerate and further develop the C1 technology. Working with renowned COOs provides us with flexibility and access to some of the best scientific organizations, which specialize in the specific task we need. As we did for our industrial business with Dyadic Netherland, we anticipate in the future establishing a central research facility to take even further advantage of the C1 technology and the many potential opportunities for developing product, for using the animal and the human pharmaceutical industry. The C1 technology platform has already proven itself for use in developing and manufacturing enzymes for industrial applications. It is now being used by two of the largest chemical companies in the world, BSF and DuPont. In addition, to the oncology data, we have reported in the past related to our vaccine research program which Sanofi Pasteur, there are many ongoing discussions with biopharmaceutical and biotech companies. This include preliminary discussion with all major pharmaceutical companies in addition to Sanofi, which we expect will lead one or more a third-party funded research projects this year targeting the use of C1 for developing, producing additional animal and human vaccines and antibodies. Currently we intend to continue our existing programs with Sanofi Pasteur and our EU funded ZAPI vaccination program. As mentioned earlier we have already started internally funded research and development pharmaceutical programs and are reviewing its options regarding its future internal and external pharmaceutical research initiatives. Sanofi Pasteur, as you know we have been working with Sanofi Pasteur using the C1 expression system to attend expression specific antigens of interest to Sanofi. In a collaborative partially funded research project, we have been jointly working to develop or produce in R&D phase vaccine using the C1 expression system. In addition to [indiscernible] funded R&D, we have the potential for additional R&D funding, other payments and potentially other additional opportunities through the research project with Sanofi Pasteur we continued. Should the companies decide to continue working together, we have the possibility of the potential initial C1 technology transferred to Sanofi Pasteur at the end of this year. As announced in the company’s press release in October 7, 2015 the data generated by Sanofi Pasteur indicates that C1 produced antigen generated an equal or better immune response in mice trials than any industrial antigen chosen for comparison by Sanofi Pasteur. It should be noted, that this data is very preliminary and additional research and data generation is ongoing and either before the company and Sanofi Pasteur would pursue a license agreement no other type of collaboration for this class of vaccines. We are working on expressing and producing sufficient quantities of additional vaccine variance in the Sanofi research project for further evaluation by Sanofi. The company and Sanofi have been in ongoing research and business discussions regarding specific that will trigger and neutral go no go decision by Sanofi and the company. We expect this decision by year-end and we will provide updates each quarter. We are in the process of developing sufficient quantities with the desire qualities of the remaining vaccine volume to Sanofi. We expect that delivery of one or more of this vaccine variance will be completed by the end of this third quarter. After receiving the additional vaccine variance Sanofi will need to further purify these materials and run their [indiscernible]. ZAPI, ZAPI is a research and development program sponsored by the EU with the goal of developing a platform suitable for the rapid development and production of vaccines and protocols to fast track registration of developed products to combat epidemic, zonotic diseases that have the potential to effect the human population. Our Dutch subsidiary, Dyadic Nederland's, BV is one of many industry and academic participants in its €22 million vaccine R&D program. The Company has started its initial research and development work on cloning and expressing different antigens, which of interest to the ZAPI Consortium with the goal to demonstrate speed in development phase and to reach high productivity of antigens at flexible commercial scales. If the Company is successful in expressing sufficient quantities of the desired antigen using the C1 expression system, we anticipate one or more of these antigens to be further characterized within the consortium. If the characterization is positive then we anticipate that such antigen will likely be an integral part of the ZAPI research and development and regulatory program. So far, the research work is following the project time line and we anticipate obtaining preliminary results on the ongoing gene expression research we are conducting in the ZAPI program sometimes in the second half of this year. Internal research and development goals. As discuss briefly earlier in the call the company has started an exploratory research program to evaluate the use of the current C1 technology to develop imperative non-glycosylated therapeutic protein products such as insulin and Ranibizumab, a biosimilar version of Lucentis. The global human insulin market is estimated to reach $42 billion by 2019 at a compound annual growth rate of 12.5% from 2014 till 2019. The insulin market is being driven by rising prevalence of diabetes worldwide and increased worldwide access to treatment including insulin. In addition, the development with insulin inhalation delivery system can increase demand since these devices use more insulin than subcutaneous injection. The lower cost insulin may help expand the use of these devices providing additional option to patients, providers and insurers. We believe that production of low cost insulin by C1 maybe a potential solution for the growing demand in the multibillion dollar insulin market. Among other monoclonal antibodies based biosimilars Lucentis use for the treatment of retina diseases achieved approximately $4.5 billion in 2014 global sale per IMS sales. Since the aging population continues to grow, in developed and undeveloped countries there is growing need to improve access to these important medicines and therapies toward the [indiscernible] faster in greater volumes and at lower costs. Producing non-glycosylated biosimilars such as Ranibizumab, a biosimilar version of Lucentis using the C1 technology we can potentially create a differentiated platform approach as an effective alternative in the emerging biosimilar bio-better global market as it becomes increasing competitive. The company’s longer term objective which will require substantially more time to achieve is to leverage the C1 expression host system for the even larger therapeutic glycoprotein market. The C1 system has the potential to become a significant platform for the development and production of therapeutic glycoprotein with human compatible or even superior glycan structure. We believe that with the rapid advance that are already available today and those being made at an accelerated pace in genomics and synthetic biology. The hyper productive and novel C1 fungal cell line is a superior option to further engineer glycosylation pathways; one, to create improved immunogenicity in vaccines, or two, to eliminate immunogenicity in the use of glyoproteins as therapeutic drugs. The Company is currently evaluating the best strategies to carry out these critical research and development tasks. We are in discussions with various leading experts in laboratories in the field of glyco engineering to identify the best path forward, glycoengineered C1 cell lines. Based on our track record of academic and commercial collaborations we believe expert in academia and industry again the regard Dyadic C1 expression system among the foremost expression systems in the world. We have licensed on a non-exclusive basis our C1 expression systems to some of the world’s largest and most renowned industrial biotech companies such as [Indiscernible] BSF, Kodaksis among others. We believe that utilizing the C1 expression system maybe the critical differentiator in allowing Dyadic, our collaborators and licensees to compete in these technologies driven markets. I’ll now turn it over to Tom Dubinski, our Chief Financial Officer to discuss the financial results.
Thomas L. Dubinski: Thank you Ronen. At March 31, 2016 cash and cash equivalents were approximately $62.6 million compared to $68.6 million at December 31, 2015. The company used approximately $6 million of cash during the quarter, principally stock repurchases of $4 million, payment of DuPont related transaction cost of $2.3 million and operating activities of $600,000, offset by the onetime cash items of $900,000. Cash and cash equivalent does not include the $7.1 million of cash held in escrow in connection with the DuPont transaction which we anticipate being released in July of 2017. In addition subsequent of the quarter end March 31, 2016, the company reached a settlement agreement with one of two remaining defendant law firms, Bilzin, Sumberg Baena Price and Axelrod. And on April 19, we received full payment in the amount of $2.1 million net of legal fees and expenses. The settlement will be reported in other income for the quarter ending June 30, 2016. We have now settled with three of the four original law firm defendants and have receives a total of approximately $4.8 million. We believe this recent settlements simplifies the case, brings the company one-step closer to untimely bringing us litigation to a closure and allows the company to focus on its biopharmaceutical business. And continue to vigorously pursue allegations of neglectful actions on missions in this litigation against what we believe are the primary defendants, Greenberg, Traurig, LLP, Greenberg Traurig, P.A. collectively Greenberg Traurig and the state of Robert Schwimmer. On March 2, 2016, the court issued an orders scheduling a law suit for a six-week jury trial commencing January 6, 2017. Through March 31, 2016 we have repurchased 2,850,000 shares of our common stock for approximately $4 million. And have continued to repurchased additional shares in April and May. On March 31, 2016 we had approximately 37.9 million shares of common stock outstanding. Net loss from continuing operations for the quarter ended March 31, 2016 was approximately $900,000 or $0.02 per basic and diluted share, compared to a net loss of $800,000 or $0.02 per basic and diluted share for the same period year ago. Revenue and gross profit for first quarter of 2016 and 2015 respectively reflect two ongoing R&D biopharmaceutical projects Sanofi and ZAPI. General and administrative expenses for the year were 8% higher than the same period year ago, principally due to stock non-cash based compensation and litigation costs, partially offset by lower cost in connect with downsizing the organization after the DuPont transaction. R&D expenses for the quarter ended March 31, 2016 increased approximately $245,000 from a zero in the same period year ago, principally due to the research and development agreement with DuPont in support of our ongoing biopharma and internal R&D programs. Net Income from discontinued operations for the quarter ended March 31, 2015, was approximately $400,000 or $0.01 per basic and diluted share. From a cash flow perspective, we expect to use approximately $11 million to $11.5 million of cash for the year, which includes stock repurchases of $6.9 million, operating activities in the range of $3.8 million to $4.3 million, payment of DuPont related transaction liabilities of $2.4 million offset by cash provided by the litigation settlement of $2.1 million. As mentioned in our last call, we are now able to meet many of the NASDAQ listing requirements and management and the Board are in the process of hiring a director of financial reporting that has the requisite skill set to help us with our registration and uplifting efforts. We have had several years of cash resources on our balance sheet and are off to a very good start and beginning to leverage C1 technology in the pharmaceutical sector, which the Company has long believed to be one of the most objective opportunities in which to apply the C1 technology. Now I would like to turn the call back to our operator to take your calls. Nancy.
Operator: Thank you [Operator Instructions]. We will go first to Barry Kitt with Pinnacle Fund. Barry please check your mute function. Again Barry please check your mute function, we are unable to hear you.
Barry Kitt: Thank you I’m very sorry. Hi guys thanks for taking my questions. What is the net operating loss carry forward the company has Tom?
Thomas L. Dubinski: Roughly $5 million.
Barry Kitt: Okay, thank you. And can you give us an idea of how many shares you may have repurchased since March 31?
Thomas L. Dubinski: We’ll disclose that Barry in the second quarter.
Barry Kitt: I believe you have got a press release yesterday or day before of some additional shares?
Thomas L. Dubinski: Yes, we announced we filed on the OTCQX that the company had purchased 268,000 shares from Stephen Warner our Director.
Barry Kitt: Okay thank you very much. I thought I saw something. So basically you are sitting here with about $1.90 a share in cash including administrative cash in DuPont, so we are getting the lawsuit for free, there is C1 biopharma opportunity for free, little bit of NOL for free which just goes to show the need for the uplifting. Can you give us some kind of idea of what the status is or what additional steps you may need to take to get there?
Mark A. Emalfarb: Tom, I think you should answer that.
Thomas L. Dubinski: I'm sorry Barry could you repeat that question. I thought Mark was going to fill that.
Barry Kitt: You bet. So I was saying that including the restricted cash at DuPont’s holding until July of next year as of right now you are sitting with $1.90 a share in cash and no debt, which means with the stock at $1.69 getting a lawsuit for free, the C1 biopharma opportunity for free, a little bit of NOL for free, which just goes to show the need to uplift and hopefully get some analyst somewhere to notice the opportunity that you have to put a proper valuation on the Company. So could you give us some kind of idea of what additional steps are necessary to get up listing?
Thomas L. Dubinski: Sure, so what we are in the process doing is we need some additional resources to stabilize the reporting process, because the full reporting requirements are a little bit more rigorous than what we currently comply with. So we have a search ongoing today, once we hire somebody we’ll be assessing looking at the first step be registering the company and become a full reporting company and hopefully we will draw enough investor interest to drive the share price above $2 for 90-day period and then we can file for up listing to the NASDAQ.
Barry Kitt: I see, okay. Well, I know you guys are making this a high priority, hopefully you find that person very soon and get to move the ball forward. So congratulations on getting to hear and I appreciate your efforts.
Mark A. Emalfarb: Barry I can assure you that we are actively seeking that person out. In fact I met with a candidate today myself.
Barry Kitt: Okay, good Mark thank you appreciate that.
Operator: And we will take the next question it comes from [Steve Raphael] (Ph).
Unidentified Analyst: Congratulations and everything seems to be going in the right direction. The question I have maybe you can shed some light on the monetary aspects of the licensing agreement that you have with DuPont? And as far as Sanofi is concerned, do you get a milestone payments if they decide to proceed with this, is there any financial consideration that’s involved with the Sanofi deal as far as DuPont is concerned. Can you discuss the terms, any of the terms of DuPont relationship with respect to licensing fees, milestone agreement, payments and any of the profit sharing or any fees that would be involved with respect to the DuPont relationship?
Mark A. Emalfarb: Yes, I think, let's talk about DuPont first. DuPont, if they do use C1 and develop a commercial product, we will get royalties from DuPont for that. I can't disclose with you with a percentages of those royalties might be. But that is built into the license agreement the DuPont license agreement also provides for Dyadic to be able to conduct research and development, but there is certain amount of scientific FDE, which would like four time equivalent scientist per year, at all facility for three-years. And other than that the benefits of getting the DuPont technology knowledge and background help, experience on the projects that we actually do to the research at our former lab and is now DuPont lab in Wageningen in Netherlands that’s the pretty much what we get out of DuPont deal. So obviously if they create drugs quite themselves and sell those drug or commercialize them whether they sell themselves or sell off the products to somebody else. We will get a royalty on that. There are attributes of that license agreement for improvement they might make that we would get access to, and if we chose to use those improvements, there would be a royalty that we might have to pay down. If we chose to use the improvements that they made, otherwise there are no royalties that we owe to DuPont of doing that. In the case of Sanofi, if they do exercise a right to get the C1 technology for use for the specific field that we are doing work on. There will be a payment and then they would bring that technology in and if they continue on that there would be a second payment and I can't really get into the details of that, due to confidentiality. But we view that the Sanofi arrangement and relationship is one of sort of test drive in a car, because their rights are only to a specific use of the technology and in fact if we can prove out that the technology actually not only can produce, that vaccine with potentially better immunization. One might theorize that if possible, they may want to use it for a lot more vaccine and just that. And obviously that’s the target and the goal, and of course they own Genzyme and we think we can apply C1 to produce similar products to what Genzyme is producing quicker, better and cheaper. They might work more effectively. We believe of course they also would be going after antibodies, they are one of the largest instrument companies in the world. So we actually have our foot in the water with one of the largest pharmaceutical companies in the world. And what we are trying to do is to convince other pharmaceutical companies to kick the tires and look under the hood and do some initial research and development work. So that when the time comes, we will have three or four these guys, if not more that can actually look at C1 and decide value of to their company for that technology, either exclusively or non-exclusively, depending on the stage we are at and what other deals may have happened along the way. So hopefully that’s to sort of clarify those opportunities.
Unidentified Analyst: Yes it does. I was hope you would be able to give more detail as far as the financial arrangements or concerned, with respect to DuPont, I can understand that the Sanofi deal is something you might not be able to talk about. But can you…
Mark A. Emalfarb: We have confidentiality agreements as well with DuPont, I don’t think they wrote us a cheque for $75 million and want us telling the world confidential information, so we can't do that. But I think that the important thing with DuPont of course is, number one we are carrying out some of that research and development work right now in our former lab which DuPont. So they are getting a peak at the success and the time it take to produce certain things and obviously DuPont has a co-exclusive licensee of ours, but one of the other benefits we have, we have the exclusive rights to sub-license C1. So hopefully DuPont at some point along with Sanofi and a variety of other people will have a heightened level of interest in finding value for their companies that ends up as our shareholder value.
Unidentified Analyst: Alright. Well, thank you very much guys. Again, it seems to be going all-in the right direction. So, thanks a lot.
Operator: [Operator Instructions] And we’ll go next to Walter Schenker with MAZ Partners.
Walter Schenker: There was a financial discussion of source and uses of cash to the year, which included a share purchase announced which was materially less than the $15 million overtime dedicated to repurchase. And I’m just trying to understand if that number largely reflected what you have already done, or in fact is the amount you are budgeting for repurchase this year?
Mark A. Emalfarb: Tom do you want to fill that?
Thomas L. Dubinski: Yes sure. I was just going to handle that. So the shares we have purchased to-date have two components. They have roughly 713,000 shares were purchased under the announced program of $15 million and the shares that are not part of the announced program is the [indiscernible] approaches for roughly $2.3 million shares.
Mark A. Emalfarb: But I think Walter to give you specific answer to your question, we obviously can only buy shares at a certain time depending on certain rules and regulations and in fact testing control independently by a brokerage house that’s doing that for us on our specific program and guidelines. And what we are seeing here is we think our estimate is we will be able to buy the total of 6.9 million shares through the rest of this year, because we don’t expect we are going to be able buy all 15 million shares. If we choose to even to buy all 15 million because we said it's up to. But the point here is you have - that’s our estimate is maybe it will be more, maybe less but there is a program, it depends on how many blocks people bring to us and obviously the price of the stock and we can only buy a certain amount item of it. 20% to 25% of a certain volume on an average of maybe 30-days Tom can probably give you that. But bottom line is that 6.9 million is what we estimate. So if we actually buy more shares back then that cash will go up for the year but we’ll end up with more shares back in our treasury.
Walter Schenker: So there is no formal limitation on the buyback of stock if in fact the opportunity arose to from blocks or enhanced activity you got lower price or whatever you starting or make your shareholders wanted to get out in theory you could buy much more than that this year?
Mark A. Emalfarb: Yes.
Thomas L. Dubinski: Yes. That’s accurate.
Walter Schenker: And just one other question, given the movements forward to fulfill the obligation to up list the stock it would still seem and I mentioned this to you privately, which still seem that once you have fulfilled all requirements, which I realize will still take some time, except the share price. If at that point you have done everything else, I still believe that it wouldn’t be appropriate to do a moderate reverse split, I think allow you to get there as appose to given the vagaries of the market until the stock price met that requirement? So that’s my statement and…
Mark A. Emalfarb: Yes and we take your advice to heart.
Walter Schenker: Okay, and last as a question given at this point that as Barry pointed out the stock is meaningfully de-risked and undervalued given the cash and a number of opportunities all of which over the next year or two could dramatically enhance shareholder value. Why is it not appropriate, maybe it’s a double negative to just sit back and continue to buy in stock an accrete value that way as appose to go out and find way via the conferences or other things to get more people interested at this time. It seems that the best thing you can do is buy stock as cheaply as possible and proceed with the other fundamental way of enhancing value to the litigation and the advancing of the science, why bother promoting this side.
Mark A. Emalfarb: Yes and I don’t just agree with the statement and again you expressed that to me. We would take it up with the Board and we follow the direction of the Board and the Board gives me instructions is what they would like me to do, and I’m sure that few of the Board members will hear the call now, because some might be on the call and they will certainly read it. And we will bring that point up and have that discussion with them. Ultimately, we agree with you that we need to make science work and if the science works, we will create significant value for all of us.
Walter Schenker: Yes, thank you.
Mark A. Emalfarb: Okay.
Operator: [Operator Instruction] We will go next to Richard Deutsch with Ladenburg Thalmann.
Richard Deutsch: Yes thank you for taking my call. Welcome to the United States Ronen, I have a question as to the scientific objectives that are on the table to be missed in this Sanofi and the ZAPI research projects understanding that there are some confidentiality there? But in generality, I would like you to lay out what the objective are, whether it's more concentrated low cost vaccine or whether it's more active proteins. If you can just lay out the objective once again, before you finally finish your project. And second part of that, is there any difference in the scientific objectives because it sound similar between this Sanofi project and the ZAPI project?
Mark A. Emalfarb: So Ronen, you can answer that, he is asking you.
Ronen Tchelet: Yes, okay. So first of all, I think the goal is mainly to show that we can produce vaccines at lower cost that is currently being done in the current technology. And this one goal, in addition to that as we showed in Sanofi, we also would like to [indiscernible] show that immunogenicity that are being achieved by using antigens or vaccines that is being produce by C1, has a better immunogenicity. And I think those are the main goals that we would like to achieve. And I think that also is a general kind of characteristic that if you manage to show that C1 can actually be able to be as a platform for vaccine production and produce lower cost and higher immunogenicity, we think that will be a very good basic for future development. Now in a way you write that there is similarities between those project in the way that you have to develop and express proteins being used as a vaccine.
Richard Deutsch: Okay. Thank you very much.
Ronen Tchelet: Thank you.
Operator: And it appears we have no further questions at this time.
Mark A. Emalfarb: I think, you going to give it back to me now?
Operator: Yes.
Mark A. Emalfarb: Okay. Our business and research plans are continuing to evolve and are being further refined as well as continue to evaluate our cash position, personal needs, R&D and other resources required to execute our business plans. I’m very optimistic about the prospects that lay ahead for Dyadic. I want to take this opportunity to thank our very hard working employees, our dedicated Board of Directors, our research partners, and shareholders for their support in helping us to achieve our business objectives. Thank you all who have taken the time to participate on today’s conference call.
Operator: That concludes today’s presentation. Thank you for your participation.